Stuart Ford: Hello, and welcome to IHG's update on strategic priorities. I'm Stuart Ford, Head of Investor Relations at IHG Hotels & Resorts. And very shortly, I will be passing over to Elie Maalouf, our Chief Executive Officer, to start the formal presentation of today's event. Before we proceed, I'm obliged to remind all viewers that the company may make certain forward-looking statements as defined under U.S. law. Please refer to IHG's 2023 full year results announcement and the company's SEC filings for factors that could lead actual results to differ materially from those expressed in or implied by any such forward-looking statements. That results announcement issued at 7 a.m. London time today, Tuesday, the 20th of February 2024, contains all material background information to IHG's update on strategic priorities. That results release, together with the usual supplementary data pack as well as the presentation slides accompanying this webcast can all be downloaded from the Results & Presentations section under the Investors tab on ihgplc.com. For those research analysts or institutional investors who are listening via the webcast, may I remind you that in order to ask questions, you will need to dial-in using the details on Page 2 of the results release. This webcast is therefore listen-only. Once the formal presentations have concluded, there will be a short break before we open up the phone lines for Q&A, and we will remind you once again at that time that you will need to dial-in over the phone to ask questions. We will also display those phone numbers for you on screen at that time. Many thanks.
Elie Maalouf: Well, thank you, Stuart, and good morning, good afternoon and good evening, everyone. I'm Elie Maalouf, Chief Executive Officer of IHG Hotels & Resorts. Thank you for joining us today for our IHG's update on strategic priorities. I will kick things off in a moment by sharing thoughts on the industry. We will then demonstrate the strength of IHG's business model and how it compounds growth and create sustainable shareholder value, underpinned by a clear purpose, ambition and strategic priorities. And we will dive deeper into the evolution of our strategic pillars and the progress we are making on each of them. The leaders of our 3 regions are also with us today to offer a view on our business in their part of the world. After which, we will cover our further fee and margin potential, strong cash generation and approach to capital allocation before taking your questions. What we would like you to take away from this event is our confidence in the strength of our track record and business model, and how our evolved strategic priorities and development initiatives will drive our growth algorithm and strong shareholder returns from here, namely, growth in adjusted EPS of 12% to 15% annually on average over the medium to long term. We will provide you with a deeper understanding of the strength and opportunities we have to further develop our brand portfolio and leading enterprise platform. And how those come together in a highly scalable, efficient model that delivers top line growth, expanding margins and excellent cash generation. A model that allows us to consistently invest in the business to drive growth, alongside sustainably growing the dividend and returning surplus capital, which is all part of how we see IHG driving optimum shareholder value. I will also outline the new areas of emphasis for our strategic priorities and how these will further strengthen the performance of our business model. We expect to present for around 90 minutes, after which we will have a short break and then the lines will open for Q&A. I'm very grateful to have a talented and highly experienced leadership team. And today, I'm joined by our CFO, Michael Glover; and our regional leaders, Jolyon Bulley from our Americas region; Kenneth Macpherson, from Europe, Middle East, Asia and Africa; and Daniel Aylmer from Greater China. To start, a reminder of some of our background of our industry. We operate in an extremely attractive industry, benefiting from long-term secular growth drivers of expanding GDP, growing populations and rising middle class and wealth. These drive business and commerce and people's inherent desire to travel and physically interact. We are confident in these long-term structural growth drivers and the long-term trajectory of this industry. These drivers have led the industry's global revenue CAGR to consistently outpace global economic growth over the long term. And in the near term employment, consumer savings and business activity all remain supportive of continued demand strength. This attractive demand also supports hotel supply growth and healthy asset returns for hotel investors. Leading global hotel brand businesses, like IHG, continue their long-term trend of taking market share of both demand and supply. The 3 leading global hotel companies have 17% of global open room supply, but 45% of the active pipeline. Within that, IHG has 4% of open rooms but we have 2.5x of that or over 10% of the pipeline. This puts us in a strong position to continue increasing our scale and capturing market share. This long-term trend of industry growth is expected to continue. Oxford Economics forecast that hotel room nights over the next decade will grow at a 4% CAGR globally, with demand for room nights in our 2 largest markets, the U.S. and China, expected to compound at 2.7% and 4.2%, respectively. On top of the growth in room nights, we expect the industry to benefit from increases in room rates too, which have historically grown ahead of inflation. The combination of these 2 drive RevPAR growth. If we turn to broader travel and tourism spending, Oxford Economics expects it to grow at an 8% CAGR globally over the next 10 years, with the U.S. over 5%; and China, over 13%. Moving on to start looking at IHG. We have built a strong business model that is hard to replicate and gives us a sustainable competitive advantage. Our well-invested portfolio of 19 brands forms a powerful network of almost 950,000 rooms across more than 6,300 hotels. We have a high-value geographic reach across more than 100 countries and a full range of segment diversification from midscale to upper luxury. Our pipeline of nearly 300,000 rooms across more than 2,000 hotels represents secured multiyear high-value growth of over 30% of today's system size. And we have a well-proven ability to successfully drive long-term growth in both demand and supply with RevPAR and net system size CAGRs over the prior period growing around 4% and 3%, respectively. IHG is highly cash generative through the cycle, which supports our capital allocation strategy and has driven substantial shareholder value. Clinically, we have built a high bar to entry global business, and investments we have made over many decades of our scale, strengthen our enterprise platform and deliver a high margin, high earnings growth business. Our attractive markets and strong business model have delivered our compelling track record. We've been successful capturing industry growth. In the decade through to 2019, we delivered RevPAR at a compound annual growth rate of 3.9% and net system size growth that averaged 3.2% a year. And our asset-light model has also delivered fee margin expansion averaging 130 basis points a year, contributing to earnings growth at a CAGR of more than 11%. We have delivered over 100% cash conversion, which has made our capital allocation approach to success, allowing us to return over $15 billion to shareholders over the last 20 years through ordinary dividends and additional returns. And over the past 2 years alone, we have returned $1.7 billion to shareholders through the combination of dividends and share buybacks, which have repurchased 5% to 6% of shares in each of 2022 and 2023. And we announced today that we expect to return over $1 billion in 2024 through dividends and share buybacks. We are confident that our business has the potential to deliver substantially more and that we will reach this potential. Our growth algorithm, which underpins our investment case will help you visualize our expectations for the business. We expect to deliver high single-digit fee revenue growth through a combination of compounding RevPAR growth and net system size growth. We have a proven history of driving strong margin accretion. Through revenue growth and a cost base efficiency, we expect our operational leverage to drive fee margin expansion of between 100 and 150 basis points per year, leading to EBIT growth of up approximately 10%. This is before any additional margin opportunities, which Michael will touch on later. We expect to maintain our strong record of converting 100% of adjusted earnings into free cash flow, which will support our 3 capital allocation priorities. This strong revenue growth, margin expansion and resulting EBIT growth, plus our expectation for regular share buyback programs is expected to deliver compound growth in adjusted EPS annually on average over the medium to long term of 12% to 15%. How we deliver that growth algorithm is all underpinned by a clear purpose, ambition and strategic pillars, which we have evolved to further strengthen our ability to drive the growth levels we anticipate. We're in a dynamic industry, and therefore, our strategy needs to be dynamic too. The changes to our strategy build on the investments we have made to transform our business in recent years. We have expanded our portfolio and significantly strengthened our enterprise, including our refreshed masterbrand, the relaunch of IHG One Rewards and our advanced technology and commercial engine. We also embarked on our journey to tomorrow to invest on our people, bring positive change in our communities and deliver reductions in energy use and carbon emissions. IHG's purpose to provide true hospitality for good remains at the heart of our brands and the culture and is therefore unchanged. We bring opportunity and prosperity to communities across the world as a force for good, creating value and wealth to support and stays in those communities. Our ambition has been simplified to focus on what is central to accelerating growth, being the hotel company of choice for guests and for owners. And we have evolved the pillars that guide the execution of our strategy. Relentless focus on growth brings a targeted approach to expanding our brands at high-value and high-growth markets. We are very intentional about our focus on growth and its importance. Brands guests and owners love defines our explicit intention to deliver for both groups every time. This precision and simplicity places the success and perception of our brands at the forefront of what we do. Leading commercial engine emphasizes the importance of investing in the technology and tools that deliver commercial success and make the biggest difference to guest owners and our hotel teams. It is focused on driving high value, low-cost revenue to our hotels through superior data and insights that lead to strong owner ROI. And our fourth pillar of care for our people, communities and planet is timeless and underpins our 2030 journey to tomorrow targets. So we are building upon a very solid foundation and track record. And to realize the full potential from our evolved strategy and its 4 pillars. Since taking over, I have identified the following areas of increased emphasis. First, a determined approach to realizing the full growth potential in each of our brands, which is vast for both our established and new brands. Second, going further into more markets with our portfolio and enterprise to capture high-growth and high-value opportunities for the secular trends in our industry. Third, a strong focus on valuable ancillaries like credit card and branded residences to capture growing and high-margin revenues. Fourth, a deep owner value and returns mindset across the full enterprise. And fifth, a clear and updated surplus capital return philosophy within our stated capital allocation policy. You will see these new areas of emphasis instilled throughout our presentation today. So now let's turn to the progress we're making on our 4 strategic pillars. First, our relentless focus on growth. We have over 6,300 hotels with nearly 950,000 rooms across more than 100 countries. And we have a further 2,000 hotels or nearly 300,000 rooms signed in the pipeline equivalent to 31% growth over the coming years and over 40% of which are under construction. The snapshot of the system size and pipeline you see here follows the great progress made in 2023. We opened 275 hotels last year or 16% more rooms than the year before when adjusting for Iberostar, and we signed an outstanding 556 hotels into the pipeline, which was 26% more than the year before. Our asset-light model is predominantly franchised with 70% of our system being franchised, 28% managed, 2% exclusive partners and less than 1% asset heavy, owned or leased. We are also geographically diverse with 55% of the current system in the Americas, 26% in EMEAA and 19% in Greater China. We see growth coming from both franchise and managed contracts. Franchise growth will come particularly from the Essentials and Suites categories as well as markets like China that are developing further towards this model over time. And managed contract growth will come, in particular, from Premium and Luxury & Lifestyle categories. So we see growth from both types of contracts coming from all 3 of our regions. Our 3 regions have considerable scale and more importantly, significant growth potential. In fact, we had between 25,000 and 28,000 rooms signed in each of our regions just last year. The Americas, which has 520,000 rooms across 4,400 hotels has a further 21% rooms secured in its pipeline today for growth. That's over 100,000 additional rooms in the pipeline across more than 1,000 hotels, taking the total system plus pipeline to close to 630,000 rooms. EMEAA has a further 33% growth in the pipeline, meaning a system plus pipeline of 330,000 rooms, while Greater China has an impressive 59% growth secured in the pipeline, taking its total system plus pipeline to 285,000 rooms. We have strengthened and diversified our brand portfolio by adding 9 brands since 2015 for mid-scale to upper luxury, through a combination of organic launches, acquisitions and commercial partnerships across our 5 brand categories of Luxury & Lifestyle, Premium, Essential, Suites and Exclusive Partners. We are disciplined with the expansion of our portfolio, adding brands that are at the intersection of guest and owner demand to address clear long-term consumer trends and capitalize on growth opportunities. We have filled brand white spaces, and we continue to assess potential opportunities that are at that intersection and are a good fit with our industry-leading portfolio. We have also continued to refresh our existing brands through the development of new formats and updated designs and service standards. We have a balanced brand portfolio mix. Our Essentials and Suites categories consist of midscale, upper midscale and extended-stay brands. These are around 2/3 of our system size and have always been and remain a core growth engine, representing close to 60% of our pipeline. The investments we have made in Luxury & Lifestyle and Premium are now coming through in our rooms mix. Luxury & lifestyle is 14% of our system but 22% of our pipeline. Meanwhile, our Premium brands represent 15% of our system, but 19% of our pipeline. I noted earlier that we are growing across each of our 3 regions. We are similarly seeing growth across each of our brand categories. Our largest, Essentials, which comprises Holiday Inn Express, Holiday Inn, avid and our newest brand, Garner has a further 24% growth in the pipeline on its large base of close to 560,000 rooms across more than 4,400 hotels. And we signed more than 30,000 rooms and opened close to 20,000 in 2023 across our Essentials brands, with these including our Powerhouse, Holiday Inn-brand family, which continues to scale further. Each of luxury and lifestyle, premium and suites categories have between 40% to 50% growth secured in their respective pipelines. And if we drop down a level, you will note the robust growth potential of each of our individual brands. Each of our brands has over 20% growth in its pipeline today. Including established brands such as Holiday Inn and Crowne Plaza with 21% and 29% growth, respectively. [ As stood as ] Holiday Inn Express, the world's largest hotel brand with another 23% growth in its pipeline, which would take it to an incredible 3,800 properties. We are highly confident in the future growth of each of our regions, each of our brand categories and each of our individual brands. We will explore these in more detail as we go along in today's presentation. So you may be asking, how much could all this future growth and the pipeline be worth? Well, just the nearly 300,000 rooms in the pipeline, if open today, would have an estimated annual fee revenue of $0.5 billion after taking into consideration the geographic mix and brand mix of the pipeline. This means roughly 30% growth in fee income before accounting for other potential sources of further revenue growth. And to deliver this $0.5 billion of additional annual fee revenue requires very limited capital committed by IHG. And what are those other sources of fee growth on top of that? Well, as those 2,000 hotels open, RevPAR will have continue to grow, which brings in more fees. And as we add hotels to our system, we'll also add fees not just on the rooms revenue but also on the F&B and other services that hotels provide in the case of managed hotels. This embedded fee potential, of course, also does not take into account further signings and pipeline growth. This is particularly relevant with conversions being a higher proportion of our growth currently. Many conversion deals are in the year for the year. So they aren't even in the pipeline at the start of the year that can be in the system and adding fees in many cases in just a matter of months. Remember, what we are showing here is the fee income from 2,000 hotels already in the pipeline. And in 2023 alone, we signed 556 new hotels into that pipeline. Finally, this embedded fee potential also does not include other ancillary fee streams as substantial growth opportunity for IHG. Our established brands continue to drive strong signings to date, with 57,000 rooms representing 73% of the rooms signed in 2023. Meanwhile, our 9 newer brands added to the portfolio since 2015 are accelerating growth. Most are still early in the growth cycle and collectively represent 7% of the system today, but 17% of the pipeline. The new brands accounted for 27% of signings and 30% of openings last year, which is very clear evidence of their strong trajectory. Now less than 10 years ago, IHG had only 2 Luxury & Lifestyle brands. InterContinental, the world's first and largest luxury hotel brand and Hotel Indigo, a lifestyle boutique brand. We have developed an industry-leading luxury and lifestyle collection by expanding the portfolio with the acquisition of Kimpton, Regent and Six Senses and the launch of Vignette Collection. Our Luxury & Lifestyle collection is among the top 2 in the industry by a number of rooms and hotels and continues to drive high-value growth at an impressive pace. These combined brands accounted for 23% of our signings in the year. Luxury & Lifestyle is now 14% of our system today, but 22% of our pipeline demonstrating the clear expansion of our state mix to higher chain scales with higher fees per key. Our Luxury & Lifestyle Collection has a further 50% growth already secured in the pipeline, taking the total number of open and pipeline rooms to over 190,000 across more than 860 hotels. And we are still in the initial stages of reaching the full growth potential of this exceptional collection of brands. And importantly, we strongly believe that our 6 brands define the Luxury & Lifestyle of the future, not that of the past. Now let's touch on the progress of some of our newest brands, starting with Garner. We launched Garner, a new best-in-class mid-scale conversion brand in the U.S. last year. The brand has considerable opportunity to build substantial scale. We project Garner to reach in a state of over 500 hotels over the next 10 years and more than 1,000 hotels over the next 20 years and that's just in the U.S. alone. Garner became franchise ready in the U.S. in September. By Q4, we had signed our first 7 hotels with the first 2 properties already opened in December and the third in January, demonstrating the quick signing to opening potential of the brand was specifically designed for. And we have also taken our first steps towards global expansion with the signing of letters of intent for 3 hotels in Japan, a market which has notable potential for a mid-scale conversion brand like Garner, backed by powerful enterprise platform. Garner has also launched in Mexico this month with further markets to follow initially across key markets in the Americas and EMEAA. So we are pleased with the progress Garner has made in the first few months since launch and look forward to much more. Now you will recall that in 2022, we created an exclusive partners category to which we added Iberostar Beachfront Resorts, highlighting the strength of IHG's enterprise platform and the desire of more owners to join our system. The partnership and integration have been progressing to plan. So far, approximately 18,000 rooms across 49 resorts and all-inclusive properties have been added to the IHG system in locations across the Americas, Southern Europe and North Africa. The properties are live across all IHG channels and IHG One Rewards members can enjoy full membership benefits, including the earning and redemption of points. We continue to look at similar opportunities to leverage the scale and the performance of our enterprise platform. Now moving to our conversion-focused brands in premium and luxury and lifestyle space. voco was launched in mid-2018, targeting conversion opportunities in the premium or upscale space. It was initially launched in EMEAA, but since then has been introduced to both Greater China and the Americas and has achieved truly excellent growth with almost 30,000 rooms open and in the pipeline across more than 140 hotels. Three years later, in 2021, we launched Vignette Collection, our Luxury & Lifestyle conversion brand. The brand followed a similar path versus being introduced in EMEAA or by Greater China and the Americas. Vignette Collection has now secured over 6,000 rooms across 34 properties globally. This means it is well on track to deliver its ambition of securing more than 100 properties in 10 years despite launching in the middle of the pandemic. Both voco and Vignette have meaningfully contributed to our ability and success to attract world-class hotel conversions with owners looking to benefit from our leading brand portfolio, power of our enterprise platform and strong loyalty program. With Garner, voco and Vignette Collection, we now have 3 conversion-focused brands across each of our Essentials, Premium and Luxury & Lifestyle segments. Conversions continue to rise in importance globally and present an increasing share of system growth. Conversion signings steadily increased from 17% of hotels signed in 2017 to 36% in 2023. We have developed the brands, enterprise platform and excellent capabilities needed to successfully attract conversion opportunities and have them open in short time frames, generating more revenue for owners and fee income for IHG. There are, in fact, some conversion opportunities that are signed and opened within the very same quarter and therefore, don't impact the reported quarterly pipeline figures. And while we have launched conversion-focused brands such as voco, Vignette Collection and Garner, we actually signed conversion deals across most of our portfolio if the brand fit is right and the owners prepared to invest the capital required. For example, around 45% of conversion signings are branded under our Holiday Inn and Holiday Inn Express brands as shown on the chart on the right. And while we are pleased with the growth in conversion opportunities and our success in securing them, we're even more pleased with the positive trajectory we have seen in new build signings as shown in the chart on the left. While new build signings are still behind pre-pandemic levels, owner confidence has clearly been improving with a 33% increase in new build hotel signings compared to the 2022, the 2020 lows. Now moving on to our next strategic pillar. Brands, guests and owners love. Following the refresh of IHG Hotels & Resorts masterbrand in 2021, we have continued to strengthen our masterbrand, its bond with our hotel brands and the IHG One Rewards loyalty program. We have raised the profile of IHG Hotel & Resorts by executing on a fully integrated investment in media partnerships and public relations. We are proud to see IHG Hotels & Resorts everywhere, including on television, social media, airports, music festivals, sporting events and much more. I think you have noticed. The changes in investments we have made are driving uplifts in perception and engagement, brand awareness, favorability and consideration metrics have improved across key markets. For example, in the U.S., brand awareness has improved 4 percentage points, leading to a 3-point improvement in favorability and a 4-point improvement in consideration. The investments we have made behind our master brand ultimately helped deliver more revenue to our hotels for our owners and more brand affinity among our guests and loyalty members. We're also driving demand to our hotels by using advanced analytics across marketing campaigns, resulting in a superior marketing ROI. We are applying the powerful combination of data and artificial intelligence to predict guest needs and behaviors and to target the right guests with the right campaigns and personalized offers. This has brought strong uplifts in room nights booked and in revenue. We are constantly evolving our brands to make sure they remain relevant in the market, drive high guest satisfaction and generate superior owner returns. For example, we further reduced the build cost of our Holiday Inn Express prototype by approximately 6% by optimizing the floor front to allow for more rooms on the same site. We launched a new modernized prototypes or even with a 9% reduction in cost per key, through value engineering, programmatic design and efficiencies across furniture, fixtures and equipment. We have revisited each of our Suites brands as well. For Staybridge Suites, we improved the efficiency of the studio room, making it more suitable to flex for the demand mix across both short-stay and extended stay guests. While for Candlewood Suites, we developed a more efficient room design and mix, increasing the number of rooms on a smaller building footprint. We are extremely focused on lowering costs and driving efficiencies for our owners across the life cycle of hotel, including cost to build, cost to renovate, cost to open and cost to operate. Over the past year, we have contracted with logistics partners to deliver more favorable freight rates contracted lower cost and higher efficiency in room heat and air conditioning and delivered hotel procurement savings of up to 30% across other goods and services categories. We also had another 300 properties join IHG's F&B purchasing program, which now has over 4,000 hotels and is delivering typical savings of up to 15%. Now moving on to our next strategic pillar, leading commercial engine. IHG One Rewards is a critical part of why our guests choose to stay with us, and the program is key to driving performance and growth. It is now almost 2 years since the biggest transformation and investment in our loyalty program. We have successfully developed a powerful and engaging program that has rapidly grown to over 130 million loyalty members. Enrollments in 2023 were up by an exceptional 50% on the prior year, a record and up 24% compared to 2019 levels. Reward nights booked were also up by more than 20% year-on-year and up 40% compared to 2019. For owners, IHG One Rewards means higher volumes of more engaged and profitable guests to their hotels. Our loyalty members are 10x more likely to book direct and spend 20% more than nonmembers, and they now represent over 55% of all room nights booked. There's also a strategic synergy between IHG One Rewards and our co-brand credit cards. The investments we have made in both have strengthened these important revenue-generating engines and fee streams. Our relaunched U.S. credit cards continue to prove highly attractive to customers. New accounts have increased more than 60% year-on-year and more than 80% on 2019 levels. We also saw strong double-digit growth in overall card member spend both year-on-year and versus 2019. We're very pleased with this improving performance, and we have substantial upside potential still to come. Our enterprise contribution continues to grow and reflects how we add value by supplying higher-value guests at a lower cost of customer acquisition to our hotel owners. The percentage of room revenue booked through IHG managed channels and sources has reached almost 80%, up from 72% 3 years earlier and is now 3 percentage points ahead of pre-pandemic levels. Digital channel contribution led this growth. This includes our IHG mobile app and web channels, which have benefited from the investments we have made in recent years and our strengthened IHG One Rewards program. We have made significant investments over recent years to innovate our technology and distribution channels. We kick things off with the development of an industry-leading guest reservation system. This cloud-based technology platform allows us to bring together all our core hotel systems, providing the right mix of technology, data and functionality needed to improve stay experiences and help owners drive revenue and performance. We are now actively developing a best-in-class revenue management capability, which includes the deployment of a new market-leading cloud-based revenue management system more on this in a moment. We're also starting work on our next-generation property management system to create greater value for our owners, where a single cloud-based view across properties will deploy fast, efficient enhancements at scale to simplify hotel operations and improve the guest experience. Our industry-leading guest reservation system has allowed us to monetize the unique attributes of each hotel's room inventory. We have deployed room attribute upsell in over 6,000 hotels. This offers guests more choice during the booking process, such as bigger rooms, better views and now also higher floors while generating maximum value for owners. The value per upsell night is averaging $40 across our Luxury & Lifestyle stake and $18 across the Centrals and Suites. This same GRS platform and the changes we've implemented to booking flows also allowed the introduction of stay enhancements. These are cross-sell opportunities that drive further incremental revenue per booking for add-ons such as F&B packages, lounge access, recreational experiences and other stay enhancements. The value of these stay enhancements is averaging $90 per booking across the Luxury & Lifestyle state and $31 across the Central and Suites. We continue to build on the success of room attribute upsell and stay enhancements to increase direct channel contribution, generate more revenue for our hotel owners and increased fee income for IHG. The innovative IHG Mobile app is our fastest-growing distribution channel, the mobile app and other mobile channels now account for 58% of all digital bookings. The upsell of the number of downloads increased 60% year-on-year and revenue increased 38%. We are continuously updating mobile app to improve conversion, revenue and guest experience. There were over 1,000 enhancements and new features in 2023 alone. For example, we introduced Wishlists allowing users to curate their own list of must visit properties, and you can do that too. And as Daniel will describe from this region, we are very adept at tailoring our digital leadership. In Greater China, the updates we have made to WeChat channel have increased conversion rates and doubled revenue from this important channel. We've also introduced Wi-Fi Auto Connect which allows guests to connect to an IHG's hotel's Wi-Fi network seamlessly when they step right through the door. This creates exciting opportunities for further developments around guest communication and experience. And finally, we launched multiple Apple widgets. So IHG One Rewards loyalty members such as diamond members who use the app 10 times a month can have key information, including details of their next day or their points progress available at a quick glance. We are extremely focused on driving high-quality revenue through best-in-class platforms to maximize hotel owner returns. As part of this, our new revenue management system is a cloud-based innovation that brings together leading capabilities already in pilot and scaling to more than 4,000 hotels in 2024. This highly sophisticated platform uses best-in-class data science, forecasting tools and artificial intelligence to deliver advanced insights and recommendations to hotels. And concluding with our fourth strategic pillar, care for our people, communities and the planet. Our journey to tomorrow 2030 plan is focused on 5 critical areas: our people, communities, carbon and energy, waste and water. And we're making positive progress across all 5 areas. Our people pillar is all about championing an inclusive culture where everyone can thrive and be their best. Globally, it's 35% of our leaders working at VP level and above are female and 52% of all employees across the organization. We were delighted that Forbes recognized IHG as one of the world's top companies for women and we are proud to be officially certified in the U.S. as a great place to work for parents. 22% of our leaders are racially or ethnically diverse and represent 16 nationalities. In fact, IHG has been ranked second out of 850 companies in the Financial Times Europe's diversity leaders. Reflecting our continued progress. Overall, employee engagement in our 2023 survey stood at 87%, which once again saw IHG accredited as a Kincentric Global Best Employer. With 9 out of 10 employees considering IHG to have an inclusive culture. In communities, we're focused on improving the lives of 30 million people by 2030 to 3 focus areas: skills training, disaster response and food security. In 2023, 30,000 participants around the world gained valuable employment and life skills through the IHG Academy. IHG supported 15 disaster relief efforts in the year working with a range of charities and [ humanitarian ] partners around the world to assist in their critical relief and recovery efforts in areas impacted by wildfires, floods and other natural disasters. And last year, we again partnered with a global food banking network and its charities in nearly 50 countries and also expanded our work with local food rescue organizations across the globe. Moving to carbon and energy, which focuses on the reduction of our energy use and carbon emissions in line with climate science. We made progress on decarbonizing our existing estate through multiple initiatives, including the integration of energy conservation measures into brand standards, which have the highest energy savings and quickest owner ROI. We also continue to expand the sourcing of renewable energy, both at a corporate and hotel level. Over 25% of our managed estate in Europe and 6 of our global offices are now procuring 100% renewable energy. And we've further expanded the availability of a renewable energy solution in an increasing number of states in the U.S. We have achieved a 3.8% reduction in carbon emissions per occupied room from our 2019 baseline and a 1.9% absolute reduction. There's clearly much further to go. And for example, this year, we expect to launch a low-carbon hotel program focused primarily on the operational carbon of newbuild hotels to further support delivery of our carbon and energy goals. And finally, responsible procurement. Our sustainable supplier questionnaire is mandatory for all new suppliers, helping us assess their environmental credentials. And our responsible procurement due diligence questionnaire covers the origin of products, helping us better understand our supply chain. Our supplier diversity program drives impact among diverse supplier groups including businesses, ethnic minority of businesses and women on businesses. This program had $111 million of spend in 2023. That concludes the update on our 4 strategic pillars which together with our purpose and ambition, underpin the strength of our business model and how we look to compound growth and create sustainable shareholder value. I will now hand you over to our leaders, beginning with America's CEO, Jolyon Bulley, and I will return at the end for final remarks and to take your questions. Thank you.
Jolyon Bulley: Thank you, Elie. I'm Jolyon Bulley, the Regional CEO of the Americas region. I've been with IHG for 23 years, holding multiple roles across our regions, most recently as a CEO for Greater China for over 5 years, filed my current appointment in May last year, which led me to the Americas region. The Americas region is IHG's largest, representing 55% of our global system size. The region has 520,000 rooms across more than 4,400 hotels in 25 countries and territories. We have a further 109,000 rooms secured in the pipeline which is 21% growth. We have mainly a franchise estate with only 7% of our rooms being managed, most of which are in the Luxury & Lifestyle collection of brands. The United States is our largest market with a little over 85% of the rooms in the region and just under half the hotel rooms globally. We have a total system size plus pipeline approaching 540,000 rooms. We signed 22,000 rooms in the U.S. last year and opened 8,000. Mexico and Canada are our second and third largest markets, with a combined 10% of the region's system size today. We are confident in the growth drivers of the Americas region. There is considerable opportunity to continue scaling our brands in the core Essentials and Suites categories. Our Luxury & Lifestyle collection of brands has ample opportunity to grow too. And in many ways, we are just getting started in this area. And our growth outside the U.S. is accelerating as a result of the investments in our development teams and capabilities. We signed 100 hotels outside the U.S. over the last 2 years. In 2023, our signings across Canada, Mexico, Latin America and the Caribbean, represented nearly 20% of all hotel signings in the Americas region, and we're more than double the signings from the year before. From a training perspective, while the industry has reached a point of RevPAR stabilization, it's important to note that there are still tailwinds of business travel, group travel and international inbound travel, which still support RevPAR growth going forward. Now turning a look to our brand portfolio mix. In the Americas region is heavily weighted to the Essentials and Suites categories, which is not surprising, given we have the leading brands in these chain scales and decades of heritage from expanding Holiday Inn brand family and our extended stay brands, Staybridge and Candlewood Suites. And we're not done yet. There's still a tremendous growth opportunity for us to add more volume to the estate in these important categories. And at the other end, Luxury & lifestyle is 9% of the region's count. This is clearly higher fee per key category. And you can see that we're making good progress at building a higher proportion of the pipeline in this area. Now let me unpack each of these categories a little more for you. Our Essential and Suites categories consist of midscale, upper midscale and extended stay brands. These represent close to 85% of the Americas system size and have always been and remain core volume growth engine, representing 80% of our pipeline. In recent years, we've seen how IHG has evolved our brands in both these segments and continues today. We launched 3 new Essentials and Suites brands, including Garner, a mid-scale conversion brand; avid, a midscale new build brand and Atwell Suites and upper mid-scale extended stay brand. As Elie mentioned earlier, we've also optimized brand designs and prototypes of the more established brands in this space and continue to do so with owners' returns always in mind. Both our Essentials and Suites categories have significant runway of growth despite our scale in both encompassing over 420,000 rooms across 4,000 hotels, none of the brands within these 2 segments is close to plateauing or reaching saturation point. We are actually just getting started with brands such as Garner, avid and Atwell Suites, all 3 of which have huge potential. In fact, our Essentials portfolio has a further 16% growth already secured in the pipeline and our Suites collection as a further 43%. As I mentioned, Luxury & Lifestyle is about 9% of the Americas system size currently by 13% of our pipeline. In 2014, as Elie said, in the Americas, we only had 2 Luxury & Lifestyle brands InterContinental and Hotel Indigo. And between them, they had a total system of 28,000 rooms across 91 hotels in the region. Today, we have a leading Luxury & Lifestyle collection of 6 brands, with a system plus pipeline of 57,000 rooms across 265 hotels in the Americas, and we are just getting started in the region, with Six Senses, Regent and Vignette Collection, which drive very high RevPAR and therefore, also high fees for IHG. Our Essentials and Suites brand categories have an approximate RevPAR of about $80 to $90, while our current Luxury & lifestyle portfolio has a RevPAR of roughly 2x that, with the introduction of luxury brands such as Six Senses and Regent, and also with growth in key urban and resort locations of our other established brands. Luxury & lifestyle RevPAR in the Americas is expected to rise to more than 3x that of the Essentials and Suites segments. We have deliberately invested in Luxury & Lifestyle both at a group level, but also across each of our 3 regions, and we are extremely focused on capitalizing on the sizable growth opportunity in front of us. As IHG's transformation lead for Luxury & Lifestyle, I oversaw the transformation we've made in this space. We've not only expanded the Luxury & Lifestyle brand portfolio, but also invested in our capabilities in this lucrative segment by establishing a dedicated Luxury & Lifestyle unit. This integrates the 6 brands ensures we have the right resources and talent and it strengthens how we develop, grow and drive performance across this important collection of brands. These dedicated teams with capabilities across sales, design and architecture, branded residences, talent and culture and marketing and communications, power the development opportunities as well as guest acquisition. We have developed these capabilities concurrently with our portfolio growth. The Luxury & Lifestyle organization, while laser-focused on the 6 brands is fully integrated into IHG, allowing us to leverage the scale and relationships of the wider business. We are confident we have the right capabilities, people and strategies to help us capitalize on the huge opportunity in front of us. 2023 RevPAR in the Americas was up 7% year-over-year. On a versus 2019 basis, RevPAR was up [ 13% ] supported by the sustained strength in leisure travel and the continued return of business, groups and international travel. Leisure demand had another strong year, continuing its positive momentum into 2023. It was already 18% of 2019 levels in the prior year. And in 2023, leisure revenue grew another 5 percentage points to be 23% ahead of 2019. There is further room for return of business travel and group's activity. Revenue from business travel improved 8 percentage points and is now ahead of pre-pandemic levels. While Groups travel was still 10% behind 2019. We are greatly confident in its full rebound. While it's a final segment to recover, we can see from the level of opportunities, booking volumes and revenue on the books that Groups will move to being well ahead of 2019 levels. And a further tailwind will come from international inbound travel, whilst over 90% of stay occasions in the U.S. are domestic travel related, the recovery of more international inbound travel will further be a further welcome boost. In 2022, international inbound non-U.S. passenger numbers were down about 34% on 2019 levels, improving in 2023 to down 16% and we expect the remaining gap to close going forward. The Americas region delivered $815 million of operating profit in 2023, up 7% year-over-year. We saw fee margin dip slightly down 210 basis points to 82.2% as the result of previously signaled cost investment in '23 to support various growth initiatives such as the launch of the Garner brand. Margins were still substantially ahead of 2019 levels and sustainable side. At over 80% as the fee margin in the Americas peaked, in a word, no, it's not. While further margin accretion is perhaps more limited than in IHG's other 2 regions, given how high the margins already are for the Americas, they have not peaked. There are numerous incremental opportunities to increase margins further. These include RevPAR growth, the continued expansion of our system size, spearheaded by our core Essentials and Suites brands, growth of Luxury & Lifestyle system and further cost base efficiency and effectiveness. These drivers give us significant confidence in the future of profit growth and further margin potential of the Americas region. Thank you. I'll now pass across to Kenneth Macpherson for a look at our EMEAA region.
Kenneth MacPherson: Thank you, Jolyon. I am Kenneth Macpherson, the regional CEO of our Europe, Middle East, Asia and Africa region. In other words, my agreement to covers everything outside the Americas and Greater China. I've been with IHG for over 10 years and was previously the regional CEO of Greater China. Prior to joining IHG in 2013, I spent 20 years at Diageo. The EMEAA region is geographically very large and diverse. We have 247,000 rooms in 81 countries and territories. Our pipeline includes a further 82,000 rooms across close to 470 hotels, representing 33% rooms growth. Our estate has a 57% vs 42% franchise to manage a split. However, our pipeline is weighted more towards management agreements that 70% of rooms managed and 30% franchised, driving significant future fee revenue potential. In Europe, franchising is the preferred operating model, where in the Middle East, Asia and Africa management contracts are more prevalent, particularly in rapidly developing markets. This is due to a number of factors, including brand segmentation, type of owner and if the market has the availability of experienced high-quality third-party management companies. With that said, we are seeing increased opportunities to franchise our Luxury & Lifestyle brands in more developed markets with the right partners who have the required expertise and experience. Our 3 largest markets are the U.K., Saudi Arabia and Germany, which together represents just over 1/3 of EMEAA's system size. Our 3 largest pipeline markets are Saudi Arabia, Thailand and India with just under 1/3 of the pipeline. You can immediately see from this that we are targeting growth in a combination of how we approach market prioritization, share more thoughts on markets including Germany, Japan, Saudi Arabia, India and Thailand. Taking a moment here, though, to note EMEAA's largest market in the U.K., where we have over 53,000 open and pipeline rooms across more than 370 hotels. We have a strong and established franchise estate and expertise, particularly in the upper mid-scale or essential segment with almost 3/4 of open rooms under the Holiday Inn brand family. We are also seeing notable opportunities in Luxury & Lifestyle and premium, particularly with Hotel Indigo and voco. We have strengthened our portfolio through the Holiday Inn and Crowne Plaza review, and the opening of some fantastic hotels in recent years. In 2023, signings increased year-on-year and close to 60% of rooms signed were conversions. Given the high proportion of conversion signings and openings, we have a fast-moving pipeline with hotels opening at greater speed and efficiency, contributing to our strength in the U.K. market. We have also strengthened our commercial capabilities, brand delivery, guest experience and partnerships such as the recent tie-up with 6 Nations rugby. This all makes our business in the U.K. materially stronger today. The EMEAA region is home to the world's most popular travel destinations with 16 of the top 20 inbound markets and 8 of the top 10 outbound markets with governments increasing focus and investment to drive greater tourism demand. Therefore, Jolyon, Daniel and I and our teams remain closely connected as we share best practices and jointly optimize overall performance of all our hotels across our 3 regions. Elie earlier only referred to the structural growth drivers that power this industry. The EMEAA region certainly benefits from these, including growing GDP, expanding population and more importantly, an increasingly wealthy population with the growth in the middle class. The region has low branded penetration with roughly 55% of hotel room supply being unbranded. This creates a huge opportunity for IHG with its strong brand portfolio, powerful enterprise platform and the growing loyalty program. We are confident in the drivers of growth for the whole of the EMEAA region. There are multiple factors supporting this confidence, including the growth of our estate in high-value markets, the growth of Essentials and Premium in developing markets, the growth of Luxury & Lifestyle driving high-value fee income, accelerating growth of our newer brands, such as voco and Vignette Collection and further opportunities to expand our brand portfolio in the region. On [ trading ] or RevPAR performance, we see the resilience of leisure travel persisting and the region will continue to benefit from the further recovery of business, group and international travel. Let's have a look at our brand portfolio mix in the region. Of our system size is in the essential space today across the Holiday Inn Express and Holiday Inn brands, which have a total of 120,000 rooms across roughly 730 hotels. Premium and Luxury & Lifestyle make up most of the remaining mix, each with over 20% of rooms today. When we turn to the pipeline, high value embedded within it becomes apparent with the Luxury & Lifestyle category being 36% of the pipeline and premium of further 25%. And the future, therefore, holds a clear expansion of our estate mix towards higher chain scales with higher fees per key. You will notice that of the 19 IHG brands in the group portfolio today, we currently only develop 13 of them in the EMEAA region. This is intentional by design as we remain thoughtful in the way we introduced brands and the time line associated with it. While EMEAA has an existing brand presence across each of our brand categories, there are 4 IHG brands that we do not develop in the region today. I'm excluding Hualuxe and Holiday Inn Club Vacations from those 4 brands. Those therefore a clear opportunity to introduce further IHG brands to the region. In markets where we see a gap in our brand offer at the intersection between guests and owner demand that Elie referred to earlier. That does not necessarily mean that we are planning to introduce all 4 in the immediate future, but we do see a sizable and clear opportunity, the brand introductions across the Essentials and Suites space in key markets, which will further support growth and where we know we can add brands that guests love and drive great owner returns. On that point, in January, we announced Garner's global expansion and introduction to the EMEAA region with the signing of letters of intent to 3 hotels in Japan. There is a clear opportunity for Garner across more EMEAA markets as we aim to capitalize on the existing supply and maximize owner returns. We continue to deliver growth across our brand portfolio from Essentials and Suites to Premium and Luxury & Lifestyle. We focus on this slide just on our Luxury & Lifestyle estate, which we have invested in, both from a brand and capabilities perspective at a group and regional level, as Jolyon covered earlier. This category has 49,000 rooms across 228 hotels in EMEAA today and an impressive 60% of further system growth is already secured in the pipeline. A notable part of this growth is in high-value markets with strong RevPAR and therefore, superior fee income for IHG. So we are driving significant high-value growth at higher fees per key with our 6 luxury and lifestyle brands. For example, the RevPAR for Six Senses in EMEAA is more than 6x that of the Holiday Inn brand family. And we are only just getting started with brands such as Six Senses, Regent, Vignette Collection and Kimpton. The total pipeline for these 4 newer Luxury & Lifestyle brands will more than double their existing estate, with considerable further signings potential ahead. While signings and openings on EMEAA are rebounding very well following the impact of the pandemic in recent years. Signings bottomed out in 2020 at 14,000 rooms, but we have since improved to 25,000 rooms across more than 150 hotels in 2023. While signings remain behind pre-pandemic levels, we are very encouraged with the positive trajectory we have achieved. Openings bottomed in 2021 at 10,000 rooms and have since also made a strong recovery. In 2023, we opened 21,000 rooms across close to 90 hotels or 16,000 rooms adjusting for Iberostar which takes EMEAA back ahead of the openings we had in 2019. With unbranded supply in the EMEAA region being high, the potential conversions is very high. We convert hotels to most of our brand portfolio, which we have enhanced through the introduction of 3 conversion-focused brands across each of the Essentials, Premium and Luxury & Lifestyle segments. Two of these brands, voco and Vignette Collection were launched in EMEAA. We have also invested in our conversion capabilities in recent years. We have agile, fast-moving expertise required to sign, open and ramp up conversion hotels with owner ROI at the center of everything we did. Conversions represented around 40% of signings last year, giving us confidence in our ability and success to secure these opportunities. The EMEAA region is vast geographically. Given its scale, it is therefore vital that we are disciplined and focus our resources on markets where we see the greatest opportunity for growth, whether it be a high volume or high value play. We have developed a clear market prioritization strategy that characterizes the countries in EMEAA into 5 groups based on scale, brand penetration, investments in localization and commercial capabilities and volume and value growth opportunities. This allows us to be laser-focused on markets with large growth potential where we have the capabilities and close to market teams and resources to deliver superior owner returns. Let's drop down a level to have a look at some of these key growth markets across categories 1 and 2. Germany and Japan are examples of developed markets where we have a well-established presence. They have growth rates that would be expected on developed markets with both having low double-digit growth secured in their pipelines. These markets may not drive the same volume of rooms growth as in less established or developing high-growth markets, but the value of growth is typically very high. We also see high conversion opportunities in these developed markets. Germany is a key outbound travel feeder market. Therefore, it's important to EMEAA but also our other regions goes above and beyond its future growth potential. Having a strong estate loyalty program and reputation in Germany benefits IHG globally. Looking to Japan, there is a very focused strategy to attract international investment, which is benefiting the hospitality industry and particularly international hotel brands. In the past 3 years, we opened over 3,300 rooms in the country. We are confident in the continued growth opportunity in both Germany and Japan. As I mentioned earlier, Saudi Arabia is our second largest market in EMEAA. While we already have a notable presence in the market, it has significant growth potential ahead of it, underpinned by Saudi Arabia's Vision 2030, which aspires to welcome 100 million visitors annually, driving immense investment into the country's travel and tourism space today. Saudi Arabia has a further 48% growth already secured in its pipeline, taking the total system plus pipeline to 32,000 rooms. India is a great example in which we have a relatively stronger states today, but as a market with significant untapped growth potential. India benefits from having the world's largest population, a growing middle class, increased infrastructure investment, improvements in the ease of doing business and friendly government policy. We signed more than 2,000 rooms in India with an extremely strong pipeline which is expected to almost double its current system size, and we are just getting started. We are investing further in our teams and capabilities in India to capitalize on this potential. Thailand, one of the world's largest inbound international tourist markets is another example of a country with very high growth potential. We have 83% growth secured in the pipeline with a system size plus pipeline of more than 18,000 rooms across our brand portfolio and Holiday Inn Express to Six Senses. Moving to conclude my section then with a view on the profit and fee margin potential for the EMEAA region. In 2023, EMEAA drove $215 million of operating profit, up 41% year-on-year and it's a record fee margin of over 60%. This was in line with 2019 operating profit levels, but at an improved margin which was up by almost 2 percentage points. There is lots of growth opportunity ahead to grow both our operating profit and fee margin. Margin accretion will be supported by further RevPAR growth, which will be a blend from both developed markets, especially when taking account of the growth potential in Luxury & Lifestyle and from developing markets which also catch the extra tailwind of RevPAR growth and as our enterprise becomes more and more scalable as these economies develop over time. As we continue to expand our total footprint in EMEAA, this will lead to scale efficiencies across our subregional business units and the region as a whole. And there is our ongoing focus on purposeful allocation of resources and a further cost base efficiency and effectiveness initiatives, which we are exploring. We are very confident in the future of EMEAA, underpinned by the region's structural growth drivers, our growth across high-value brands and geographies and the potential introduction of existing IHG brands to our regional portfolio. Brand awareness and guest satisfaction continue to grow, as does our commercial delivery and we are very focused on driving owner returns. This drives superior ROI at [ ROI ] hotels, which further fuels the growth of our system and the scalability of our enterprise platform. The growth of our estate, coupled with other margin improvement opportunities means we have significant potential ahead of us. Thank you. And I will now hand you over to the Managing Director of our Greater China region, Daniel Aylmer.
Daniel Aylmer: Thank you, Kenneth. I am Daniel Aylmer, Managing Director at IHG in Greater China. I've been with IHG for 7 years and in Greater China over 20 years previously with Starwood Hotels & Resorts before joining IHG. Now IHG has been in Greater China for almost 50 years, opening its first hotel in the region back in 1975, followed by its first hotel in Mainland China in 1984, with Holiday Inn Beijing [ we do ]. As I will come to show you in a moment, it took us 33 years to open the first 100 hotels, 5 years open the second 100. 4 years to open the next 100, and we have been since maintaining an incredible pace of opening almost 100 hotels every 18 months. And in fact, we recently celebrated the milestone of 700 open hotels in Greater China, solidifying our position as the largest international hotel operator in this incredibly important market. That's close to 180,000 rooms, and we have a further 106,000 in the pipeline across more than 500 hotels. So in fact, our pipeline already has a further 59% rooms growth to secure. Currently, we have a predominantly managed estate with 68% of our rooms being managed and 32% currently franchised, but we have delivered a strong acceleration in the growth of franchising in recent years, which is, in fact, in its relative [ intimacy ]. More to come on this in a moment. We are extremely confident in the future of the Chinese hotel market and our business in China. Whilst as with every economy, there can be short-term challenges, the medium and long-term outlook continues to be undeniably attractive. China has a population of 1.4 billion people. And whilst population growth benefits the hotel industry, the middle class growth is of even greater significance as middle-income households are our primary customers. The number of middle-income households and individuals in China is set to double over the next decade. The strength of demand gives us assurance too. Back in 2019, we had an approximate 80-20 split between domestic and international inbound travel. Domestic travel has showed such resilience throughout the pandemic when people were permitted to travel. And domestic travel has rapidly rebounded following the removal of restrictions back in December 2022. As a result, in 2023, our RevPAR fully recovered to be up 0.7% ahead of 2019 levels with occupancy back to the same level as in 2019, but with stronger rates. It is very important to note that the recovery was spearheaded by the strength in domestic demand. As international inbound travel has yet to recover to historical levels due to limited flight capacity. At the end of 2023, international flight capacity was still roughly 35% to 40% below 2019 levels. We have a convinced that international travel to China will fully return once flight capacity has recovered. But in the meantime, we've already seen RevPAR fully recover to pre-pandemic levels, which has been extremely pleasing. This just goes to show the inherent desire to travel in China as well as the benefits of such a large and developing markets. And even after many decades of rapid growth for the industry, China remains a relatively underpenetrated hotel market. Despite the room supply growth by both international and local hotel companies, the fact is that China has just 1/7 of hotel rooms per capita than that of a much more developed market of the United States. These drivers of growth for the overall market give us significant confidence in the long-term attractive future for China's hotel industry. Turning to IHG specifically. We have a business model that has been developed in China for China with a very experienced leadership team based in Shanghai with incredibly deep knowledge and an understanding of the market. Our purpose of providing true hospitality for good is at the heart of how we operate. We are a forced for good. We create value and wealth creation that supports and stays in the community. This is a key point as to the strong positioning, success and sustainability of our business model in China and one that is contrast to many other businesses and industries. Our presence in the market for almost half a century has allowed us to truly embed ourselves and develop deep rooted relationships with all key stakeholders required to develop such a driving hotel business from guests to total owners to policymakers. If for these reasons that we've been able to grow to today's scale of 285,000 open and pipeline rooms across more than 1,200 hotels organically, without relying on master licensing agreements with third parties to drive our development. Simply put, this means we can benefit from the full deal economics of a management and franchise agreement without any fee sharing arrangement with local partners. IHG earns 100% of the fee income from our hotels in Greater China. Turning then just to delve a little more on to the key industry drivers. According to data from Oxford Economics, China's GDP is estimated to grow at CAGR of 3.8% over the next decade. Now there are just over 75 million middle income households in China today. The next decade, this is set to double to 150 million middle income households. For context, this would result in 22% more than its estimates for the U.S. at that point. And as Elie noted earlier, the evolution of the middle class is one of the primary structural drivers of the hotel industry growth, and the middle class represents our main hotel guest. On a number of individual basis with an average household size just under 3. This is an additional 200 million middle-class people. That growth in GDP, combined with the increase in middle income households feels into projected growth in travel and tourism spending, which is forecast to grow at a CAGR of 13.4% over the next 10 years. And that should be the key driver of RevPAR growth, which, of course, grows with volume demand, but also rises as economies develop. Our absolute dollar RevPAR in the region today is around half of that for IHG's 2 other regions. And with long-term development, that gap closed. As I mentioned earlier, the limited hotel rooms penetration in China today gives us significant confidence in the growth potential that lies ahead. As the Chinese market develops over the long term, that sevenfold gap of hotel room penetration will flow, which is a very exciting backdrop to support our continued growth in the region. Today, we have a leading brand portfolio in the market with balance across all the categories in which we play. 20% of our system is in the Luxury & Lifestyle category. Roughly 30% is in Premium and 50% comes from our Essential category. Our pipeline mix is the same, indicating equally robust growth opportunities across all our brand segments. What does become clear when looking at this slide is that we currently have on offer for development, 12 of IHG's 19 brands in Greater China only. While we see the 12 have a very strong pipeline and immense potential ahead, we do see notable opportunity for some of the other existing IHG brands not currently present in Greater China market today. Expanding on that point. We currently have only 2 brands in this essential space today, Holiday Inn and Holiday Inn Express have more than 90,000 rooms across close to 450 hotels with an impressive further 58% growth secured in the pipeline. We have no brands in the extended estate or Suite space currently in China. We've already shown success bringing across China, the Group's other brands with vignette Collection, voco and EVEN. We have more than 11,000 open pipeline rooms across these 3 brands despite only very recently been introduced. Now later this year, we are planning to bring one of IHG's Suite brands to the China market. IHG has incredible experience in these formats, and the market in China is expected to produce attractive returns on investment for owners that develop in this category and strong additional fee streams to IHG. After that, we would look at the potential to add further Essential brands over time. To date, in the mid-scale and upper mid-scale categories with just 2 brands, IHG is typically achieving around 20% signing share. But we know there's even more that we can do. For example, we've already seen conversions account for over 30% of opening in 2023. In due course, bringing a brand such as Garner to Greater China would open up a whole new category and growth opportunity for IHG. I mentioned earlier that we have a predominantly managed estate with roughly 70 to 30 managed to franchise split. Our pipeline, however, is more evenly balanced with 55% of rooms being managed and 45% franchise. Now we really only began franchising in Greater China back in 2016 with the introduction of our Franchise Plus model, specifically tailored through the China market and initially created for Holiday Inn Express. The Franchise Plus model has an IHG's appointed General Manager on the hotel's payable for a limited time where he or she are there to support the opening and ramping up of the property in accordance with IHG's best practices and brand standards. This provides hotel owners with all of the benefits of operating a franchise model but with the added benefits and features from IHG's managed model. The Franchise Plus model laid the foundations for the swift growth of our franchise business in Greater China. Since this introduction back in 2016, we have witnessed a rapid acceleration in the growth of our franchised estate across both Franchise Plus and traditional franchise agreements just as the market's matured, and we broadened our footprint in China. Now whilst we continue to grow the scale of our managed estate, franchising has increased from 2,000 room or only 3% of the total estate back in 2015, they are 57,000 rooms today. So franchising now, 32% share of total rooms and is expected to grow much further. As a point of comparison, IHG's Americas region under Jolyon is 93% franchised with the growth of the franchise model, it comes further potential for fee margins. More on this in a moment. So as you would expect, the shift to franchising is one thing that happens over time and happens by brand-by-brand or chain scale by chain scale. Over half of our current system for Holiday Inn Express in the region is now franchised. But there's only around 20% for holiday in Crowne Plaza. So of all of our franchise rooms, Holiday Inn Express is 61% with 31,000 rooms, while Crowne Plaza and Holiday Inn are next, but still heavily reliant on managed contracts. This is a long-term development curve we've seen before in Europe and other parts of Asia and, of course, in the Americas. So there is a great deal further to go for this part of the journey towards a more mature market. As we all know, development activity in the Chinese market was affected by the pandemic in recent years. But despite the varying level of restrictions in place over the last 4 years, we continued to demonstrate relative resilience in both signings and openings. Over this period, curatively, we have, in fact, signed more than 100,000 rooms and had a notably higher market share of signings, particularly in Luxury & Lifestyle and Premium. And over the COVID-impacted years between 2020 and 2023, we still opened nearly 60,000 rooms. In 2022, the year most severely affected by COVID prevention measures, our signings in China bottomed out, which is often, in fact, overlooked as markets around much of the rest of the world were opening back up from early 2022. Last year, signings picked up another 26,000 rooms across 134 hotels, a 19% growth year-on-year. And we do expect this to continue to accelerate here onward back towards historic levels. This improvement will feed through to a recovery in openings over time, something that we've already seen with 2023's openings growing 29% year-on-year. Concluding with what it all means for fees and margin potential. In 2023, Greater China delivered $96 million of operating profit, up 3x year-on-year with a record fee margin of just shy of 60%. In comparison to 2019, operating profit was $73 million with a margin at 54.1%. However, when we compare this to our Americas region of $850 million of operating profit and a fee margin north of 80%. There is significant potential ahead to grow both the quantum of avid and margin in Greater China. Closing the gap to the Americas is obviously a very long-term play, but that is the opportunity and a clear direction in which we are heading. Further margin accretion will be developed by a multitude of factors, including further RevPAR growth as markets mature, continued growth of our system across all segments, growth in franchising, further cost base efficiency and effectiveness and an increase in ancillary fee streams such as branded residential opportunities. In closing, we are extremely confident in the growth of the Greater China region, supported by the market structural drivers. IHG's strong business model and history in the region as well as multiple untapped opportunities. Thank you. And now over to Michael Glover, our Group CFO.
Michael Glover: Thanks, Daniel. I'm Michael Glover, Chief Financial Officer for IHG Hotels & Resorts. It's great to have been joined by our regional heads today, and it's clear from all we've heard this afternoon that there is still so much more to come from every part of our business. I want to take a moment now to link this all back to our growth algorithm which underpins our investment case. IHG has a strong proven track record of margin accretion, driven by a combination of increasing levels of RevPAR as well as expanding number of hotels. IHG's fee business revenue growth significantly outpaced overhead growth in the decade to 2019. On average, fee margin accreted by 130 basis points a year, further contributing to EBIT growth in the business. As we've already heard explained from our regional heads and Elie this afternoon, there are significant opportunities in the business, which will drive further growth in our fee business revenue. And therefore, we are confident that margins will continue to increase at a similar pace delivered in the past. You should, therefore, expect to see an average of 100 to 150 basis points of margin accretion a year over the medium to long term. This is our base scenario which, as I explained, is a product of the operational leverage, where we expect the efficiency of our cost base will require relatively low levels of overhead investment to drive growth. On top of this, we are actively pursuing further opportunities to drive fee margin over the longer term. These will include ongoing cost base efficiency and effectiveness initiatives, the expansion of ancillary fee streams, including driving additional growth from our co-brand credit card offerings. The ability to convert earnings into cash is key as it manifests our growth into investment capability back into the business into being able to fund returns to our shareholders. IHG typically converts over 100% of our earnings into free cash flow. If we track this back to 2015, which is the earliest reporting period with consistent accounting standards, you can see that cumulatively, 119% of earnings have been converted to cash with free cash flow of over $800 million, 2023 was a record year for cash generation in absolute terms, second only to 2021's conversion rate. Going forward, we expect to continue converting around 100% of earnings into free cash or indeed something slightly over 100%. You are well aware that as an asset-light model, our growth does not typically require substantial amounts of capital expenditure. The structure of the system fund is also a mechanism for ensuring that major technology investment is funded via contributions to the fund by our hotel owners for the benefit of our hotel owners. And it's worth also remembering that working capital also tends to be a positive inflow as we grow, more hotels in our system, and more growth of our loyalty program creates the upfront fee streams into the system fund balances, which we manage. While our strategic priorities are updated, our uses of cash remain unchanged. As a reminder, after investing in the business to drive long-term growth, which remains the foremost priority, we look to sustainably grow the ordinary dividend. And then to return any surplus capital to our shareholders via additional means typically buybacks. In 2023, IHG grew the ordinary dividend by 10% as well as completing a $750 million buyback program, which repurchased 10.6 million shares to reduce the outstanding share count by 6.1%. All in, $1 billion will return to shareholders, equivalent to 10% of the opening market cap at the start of 2023. IHG targets a leverage ratio of 2.5 to 3x net debt to EBITDA. Despite the returns in 2023 that I've just mentioned, our leverage was still below our target range at year-end. As we announced this morning, therefore, we are launching an $800 million buyback program for 2024. On a pro forma basis, this would take leverage to 2.8x at the end of 2023. But on a prospective basis, given consensus expectations for EBITDA growth and cash generation in 2024, we would still likely end 2024 around the low end of our range. And it's this capacity, which really underscores the strength of our business model, we generated over $800 million of free cash in 2023 after having invested almost $150 million in key money and maintenance capital expenditure. Going forward, we're likely to spend a little more than that on an annual basis closer to $200 million, which will enable us to achieve our growth ambitions. We can confidently increase this investment capacity and still meet all our other capital allocation priorities due to our free fee revenue growth and efficiency in cash generation. And it's worth remembering that we are well invested in. I've mentioned our key money in maintenance, but on top of that, regular spend, the system fund has funded over $700 million of capital development over the last decade. From the free cash flow that we generate, that will fund the ordinary dividend, which we have been growing at 10%. But the share count that we are paying the dividend gets smaller as we buy back shares. In 2024, the dividend payments are, therefore, going to absorb around $250 million of free cash generation. So after investing in our business, growing our ordinary dividend and returning $800 million through the share buyback program, we will still be around the bottom end of our target leverage range at the end of 2024. This would still lead capacity of $500 million or greater before reaching the top end of our leverage range. Future profit growth creates additional capacity on top of this. We will, of course, continuously evaluate investment and return opportunities in order to maximize long-term shareholder value creation. With that, I'll hand back to Elie to wrap up before we switch to Q&A.
Elie Maalouf: Thank you, Michael, and thank you to everyone in the audience for joining us today. Hopefully, you have found this informative. In a few minutes, we will open up for Q&A. But before that, let me bring together the key themes of what we'd like you to take away from today. We have built a strong business model that gives us a sustainable competitive advantage. We have a well-invested portfolio of 19 brands across a high-value geographic region in more than 100 countries in a full range of segment diversification from mid-scale to upper luxury and a powerful enterprise platform of technology, loyalty and commercial capabilities. Our pipeline represents secured multiyear high-value growth of over 30% of today's system, and we have a well-proven ability to successfully drive long-term growth in both demand and supply. We are a highly cash-generative business, supporting our capital allocation strategy to invest in growth that will drive long-term shareholder value creation, under sustainably growing dividend and return surplus capital to shareholders. Critically, we have built a high barrier to entry global business through the investments we have made over many years and continue to make to grow our scale, strengthen our enterprise platform and deliver a high margin, high earnings growth business. Summarized here. You can see our growth algorithm has delivered a very strong track record, reflecting those CAGRs through to 2019 that I shared with you at the start of the presentation. In the middle, you can see where we've come since 2019, completing a full recovery and much more. Compared to 2019, our RevPAR is 11% ahead. Our system size is 7% larger. Our fee margin is 520 basis points higher. We've also converted more than 100% of earnings into cash, which after investing in the business allowed us to grow the ordinary dividend by 21% and return some $1.7 billion in total to shareholders. Through the combination of these drivers, in 2023, our EPS was 24% higher than in 2019. And what we see here and shown on the right-hand side is strong potential for more. Looking ahead, our growth algorithm is expected to deliver high single-digit fee revenue growth through a combination of RevPAR growth and net system size growth. With the revenue growth and cost base efficiency, we expect our operational leverage to drive fee margin expansion of 100 to 150 basis points per year. We expect to maintain our strong record of converting approximately 100% of adjusted earnings into free cash flow, which will support our 3 capital allocation priorities. This strong revenue growth, margin expansion and resulting EBIT growth, plus the assumption of regular share buyback programs is expected to deliver EPS growth of 12% to 15% annually on average. We have a strong track record, have delivered a strong recovery, culminating in an outstanding set of 2023 results, and we are excited about the vast opportunities ahead for IHG. Entering with that, we are happy to take your questions. The phone numbers for institutional investors and research analysts to dial into the Q&A will now appear on screen. But first, we're going to take a 5-minute comfort break before taking the first question. There will be a count down on the screen so you will be able to see when the Q&A will begin. [Break]
Stuart Ford: This is Stuart Ford speaking. So we're now going to open the phone lines for questions. So if I can pass over to the operator to take the first question, please.
Operator: [Operator Instructions] And we will take our first question from Jamie Rollo with Morgan Stanley.
Jamie Rollo: Three questions, if I may. First, you're not giving any explicit targets for net unit growth. The company used to talk about industry-leading net unit growth. So I guess that would be somewhere near sort of 6% or so. But what's the prospect for an improvement on last year's sort of 4% net unit growth, please? Secondly, any comments at all on recent trading? I know you don't guide, but we have seen some sort of softness in the U.S. upper mid-scale segments for the last couple of months, China also sort of back to below '19 levels so far this year. So any sort of view there? And then finally, just thinking about the company's valuation and Michael, you talked about [ $500 million ] of additional firepower. How do you sort of marry that high valuation and accretion from a buyback with the sort of marginal cost of debt? And also, where does that valuation leave your thinking on the benefit of a possible U.S. listing, please?
Elie Maalouf: Okay. Thank you, Jamie. I'll take the first couple of questions, turn over the valuation one to Michael. I answer on the listing anyway, but we'll repeat it for you. So on unit growth, look, we're very pleased with our unit growth progress in '23 over the cycle. You saw our 16% growth in openings. You saw our 26% growth in signings. You saw our fourth quarter, almost record signings, 50% over the year before. So that gives us really good confidence about the trajectory. Now as you also saw in our SCA in 2023, we still had about 60 basis points of Iberostar in that 3.8. So where consensus is for 2024 is an acceleration, and we think we have potential as the whole team today described for you in all of our markets, across all of our brands in all of our regions to continue and accelerate that growth. And by the way, I think that we're -- if you adjust for all the acquisitions and various things among the majors, we're in the top of the league this year in '23 for net unit growth. On the U.S. current performance, we're -- don't give out-of-cycle trading information any more than we give guidance. We were doing some of that during the pandemic just to reassure people a little more, but we're well past pandemic communication as we won't be in '24 giving any more over 2019, comps as we won't be giving monthly data. So we're normalizing our communication. I mean if we look at sort of the fundamentals of the U.S. economy and market -- so let me just talk about the economy first and about the market. You've got strong GDP growth. You've got strong job growth. January was double what people expected. You got real wage growth. You got inflation interest rate subsiding. You got government spending that's heavy on Infrastructure Act, IRA, the Renewables Act and also on the CHIPS Act. And that's making its way through the economy, good consumer confidence. So that underpins the fundamentals for consumer confidence and business confidence and, therefore, for travel. Specifically to our industry, you still got a few tailwinds, not really any postpandemic recovery, but you've got return of international travel. It's not complete yet due to air capacity. It's improving. You got groups and meetings that are booking very well. We're 17% over 2019 in groups and meetings, but we're not consuming that yet. And so that consumption really started to ramp up in '23, especially in the second half of the year and is really going to hit it even more in '24 and beyond. you've got some business transient occupancy that is not fully recovered yet. So on top of a very strong [ year ]. So there are some tailwinds for the U.S. economy definitely and certainly for our industry to '24. On -- look, on your third question, I'll take the final part of it and turn over the debt coverage and capacity. On listing, we've said, we repeat, we don't have any current plans to change anything on that. We recognize that we're a large global company with a major business in the U.S. Our Board will always be looking at all options to maximize, optimize long-term sustainable shareholder value. I don't have any current plans now. By the way, just moving over here in July. I'm having a great time in the U.K. And I think, look, U.K. is a great place to run a global business from time zone, location, destination. It's been quite good. Michael, over to you.
Michael Glover: Yes. Jamie, thanks for the question. I think as we go through the process of thinking about how we go about our capital allocation. Obviously, as we've talked many times, we invest in the business, which we've done this year. We invested in things like Garner integration, with Iberostar. Then we looked to grow the ordinary dividend, which we did again at 10%. And then we looked to see do we have capacity within our stated model of 2.5 to 3x net debt to EBITDA. And so first of all, we looked at that and being at 2.1x at the end of the year, we knew we had capacity to do that. Then we think about what are the best ways to return that capital to shareholders. We obviously do an evaluation of a share buyback and look to see, is that going to be earnings which are accretive. Our blended cost of debt is about 3.7%. And when we did that evaluation, we knew that the share buyback would be value and earnings per share accretive. So I can't comment on the share price, but I can tell you we've done the work to make sure this is the right way to return capital to shareholders.
Operator: Our next question comes from Vicki Stern with Barclays.
Vicki Lee: Just coming back to -- you talked there, Michael, about this [ $500 million ] of headroom to the leverage targets. I suppose your predecessor used to talk about being happy in the top end of that leverage range. Obviously, that was in a different interest rate environment. But how should we be thinking about that comment about the additional [ $500 million ], be it for share buybacks or I think you talked about other opportunities? And generally, in normal times, where in that range you'd like to sit? You saw on signings quite a sharp acceleration in Q4. Just to what extent is that exit rate the right level of signings to have in mind now as we go forward? Was there anything special that boosted that Q4 signings pace? Or is that a sort of reasonable assumption now to think about future quarters? And then, [indiscernible], you've obviously talked recently about the credit card fee opportunity. Just keen if you might be able to flesh that out? I know it's not for a while, but I think there's sort of 2 elements to the opportunity there, both in terms of the mix between system fund and IHG and then on the absolute quantum of what those credit card fees could move to. So yes, a little bit more color there, please?
Elie Maalouf: All right, Vicki, thank you. Let me take your second and third questions, and Michael will then pick up back on the [ $500 million ]. So on signings, yes, we're very pleased with the performance of our teams globally in the fourth quarter. The great thing about it was that we signed between 25,000 and 28,000 rooms across our regions for the full year. So it was very evenly distributed, it's rarely distributed by brand. The fourth quarter, as you know, very well, is always a very strong peak quarter for openings and signings. So it's not really ever evenly distributed. Now I'd say in Q4 of 2023, it was even stronger than usual. I'm very pleased with that. What does it come down to? There was nothing really in particular. What's better is that it was a lot of things coming together. The strength of all of our brands starting to show up throughout our markets. The strength of all of our teams performing in the market. Owners' confidence starting to come through. I mean it was tough for owners during the pandemic and that confidence is starting to recover. Leveling off interest rates helped, leveling off inflation helped, but we've got the right brand portfolio in the right markets, and that came together, too. But there was no onetime -- special onetime transaction in there. So I wouldn't model a consistent quarterly signings level because you know that the fourth quarter tends to be higher than others, but we're very excited about the progress that we can make across all of our brand portfolio going forward. Now on the credit cards. That's another area we're very pleased with since relaunching. Really 3 things: establishing a world-class luxury lifestyle portfolio, which is important to drive a higher paying customer, which is important for credit card acquisition, number one. Number two, relaunching IHG One Rewards 2 years ago and really putting it at the forefront of the industry in terms of its features, its rewards, its redemptions and seeing an acceleration. I mean 50% growth in sign-ups last year, it was a record. And then we had last year, which fed into the credit card strength. With 2 relaunched cards from the year before, we had 60% growth in new accounts, 80% compared to 2018 -- to 2019, double-digit growth in spend per card for the second year in a row. So -- I mean that's all encouraging. The largest opportunity in credit cards is to grow the program in aggregate. And that is beginning, but I'll also say we're just getting started with this, and there's a lot of headroom for us in there. Michael, over to you on the [ $500 million ] again.
Michael Glover: Yes. And thanks, Vicki. Great question. Look, it's a great place to be in, to be honest. We've got -- to have that kind of capacity, to have a strong balance sheet, there's no real change to us saying we would be anywhere in that range. We still feel comfortable being in that range. But it gives us the opportunity. And one thing we didn't talk about in the -- I didn't mention in the capital allocation strategies is we'll look at opportunities as they arise. If there's something compelling that brings in additional shareholder value, gives us the opportunity to look at those kind of things. And then of course, as we go through the year, if there is still excess capacity [ packed ] consistently around doing regular share buybacks, it just gives you hopefully, confidence and while I can't say anything about what we would do in the future, but that model will continue to generate the cash and make that available for us over the long term.
Vicki Lee: And sorry, just to follow-up, to pick up on that comment there about if there are any opportunities that could arise. Any specific segments, regions that you'd be a bit more interested in, in terms of opportunities?
Elie Maalouf: Yes, since coming into this role in July when traveling around our entire enterprise from China to Japan, Southeast Asia, of course, Europe, U.S. I'm going to Middle East in 10 days or less. So I mean, the great thing is everywhere I go, I see opportunity. Everywhere I go, I see opportunity for our brands, with our owners, mature large markets like the Americas. I think we're just getting started with our new brands. We're just getting started in Luxury & Lifestyle. We've got a long way to go still, and I'm confident Jolyon Bulley will lead it to greater heights. As you move east, Daniel just told you how much more headroom there is in China, the low penetration, the growth of the middle class coming. And then sort of in Southeast Asia, a young population, growing population, growing GDP. We've got a strong presence. I just think we've got opportunity across the whole map. With that, I think we can go to next question?
Operator: Our next question comes from Jaina Mistry with Jefferies.
Jaina Mistry: And I've got 3 questions as well, if I may. The first one is bigger picture. You've mentioned the opportunity from branded residences a few times and I wondered if you could flesh out in more detail what this means, what the economics looks like from expanding branded residences today? My second question is around the U.S. It feels like there is increasing competition at the lower end of the U.S. market and we're several months into new brands launching like Spark and Garner, et cetera. How are you thinking about the impact of the development as to the lower end of the market, specifically the impact on the upper midscale business? And then lastly, I have a question on U.S. margins. I wondered if you could quantify any one-off costs in the Americas in 2023, I mean, costs that won't recur in 2024. And in particular, do you think margins can grow in the Americas region in 2024?
Elie Maalouf: Okay. Thank you, Jaina. Let me take your questions on branded residences. I'm going to ask Jolyon Bulley, who's been leading the enterprise to add to it. I'll take your second question on competition in mid-scale, upper mid-scale, and Michael can fill you in on U.S. margins, any one-offs, et cetera. So -- well, the branded residence business is very attractive to us, 60% of our new signings in Luxury & Lifestyle are coming with branded residences. What typically happens there is we'll take a fee on the sale of the unit. And those units can run into 7 figures, multiple 7 figures. So that business model has been proven. We're -- most of our Six Senses deals and Regent deals come with branded residences and they create a halo for the development of the residential, and we end up taking a fee on the residential. So that's very attractive for us. And it's a segment where we have the ability to really multiply our fees over the long term. Well the U.S. has been very competitive for a long time. This is not the beginning of competition in the U.S. We've always competed and we've competed well. And so we're not deterred by the competition. We see most of the new brand launches that occurred this year were not really in upper mid-scale. They were mid-scale, mid-scale to economy almost. And so we don't see it as much as relevant to our offer of mid-scale [ Paris ] brands of Holiday Inn, Holiday Inn Express and Atwell Suites. We see it entering more mid-scale to lower mid-scale. I mean, interestingly, in mid-scale, our Candlewood Suites brand had a great year. Our avid sales are up over 60% -- or avid signings are up 60% year-over-year, and Garner's had a good start. There's a lot of opportunities still in the U.S., plenty of room for us to continue to compete and take share. On U.S. margins, the only thing I will say before I turn it over to Michael is keep in mind that one thing that happened in '22 is the industry was very strong in the U.S., stronger than we expected stronger than anybody expected, and we expected to add back some cost postpandemic, but the revenue gains exceeded our expectations, and we were not adding back some of that infrastructure, some of the cost as quickly as the revenue gains. So you did see a bit of a bump, and we signaled that at the end of the year. You did see a bit of that bump that had to catch up a little bit into 2023. And then there were a few things that we invested in. Michael, I turn it over to you on that.
Michael Glover: Yes. Thanks, Elie. So let me just step back. Few little overheads in total for the group. They grew by 8.5% last year in 2023. This is higher than we would expect normally. As part of that, roughly 5% was inflation. And then I think you may remember we had $25 million to $30 million of other costs that came in. Part of that was related to Iberostar integration. Other parts of that was related to the Garner investment. We're going to have some of that stuff repeat. We've said this year, we would expect to see kind of normal inflation in overheads in that kind of 2% to 4%. As Jolyon talked about in his presentation, we definitely see opportunity for continued fee margin growth. I'm not going to give you any kind of guidance or formal numbers here, but we definitely see opportunity for that to continue to grow.
Elie Maalouf: Thank you, Jaina. We can move on to the next question.
Operator: Our next question comes from Muneeba Kayani with Bank of America.
Muneeba Kayani: I actually wanted to go back to the credit card and loyalty comments around kind of -- can you help us quantify the EBIT opportunity from that and the timing around that? Any milestones there? And is this included in the medium-term targets that you just laid out? The second question is just again, on the medium-term targets and the fee margin expansion there. At a group level, how should we think about that across regions? Is it a similar 100 to 150 basis points? Or does it vary? And then just again on the share buybacks. Is there a certain amount that's assumed in that 12% to 15% EPS CAGR?
Elie Maalouf: All right. Thank you, Muneeba. You asked about the credit card. Third question was the share buybacks, which I'll leave to Michael. And what was the middle question? Yes, fee margin region. Let me take the first question. On credit card, we don't give guidance, obviously, on any region, any specific segment of our business. So we can't do it here, won't do it here. But what we've shared with you is we're roughly in the $100 million-ish today in total credit card revenues, which gets split between system fund and P&L. And we think it can be multiples over time. It can be multiples. And as you can see from our growth in 2023, it was 60% more accounts with double-digit spend per card. We're on the right trajectory, and it's highly fee accretive to the company with a strong drop-through. On fee margin by region, well, I'll let Michael pick it up from there.
Michael Glover: Yes. So one other disappointing -- I mean any -- obviously, within our numbers, we have the credit card fees that we're making today. We have not added that within the guidance that we've given longer term. So that's not in the long-term guidance of any incremental amounts or thoughts going in there. From a fee margin perspective, if you look at what we're -- and look at each of the regions and if you heard Daniel, Kenneth and Jolyon talk about all of the regions have fee margin accretion opportunity. It will be different in different regions as we think about how those regions mature and grow certainly in China as we move more to franchise, that's going to drive a lot of the margin accretion. And in EMEAA. We've got more Luxury & Lifestyle coming in. So all of that is going to come at a different pace and as we go forward. But again, we feel like that 100 to 150 basis points of margin improvement is in line with what we would expect and in line with what we've done historically. On the share buyback, obviously, I won't -- I can't give guidance on what we'll do in the future and is the [ $800 million ] a floor. But I think if you just go through our value algorithm, I'll let you go through and model what you think that might be.
Operator: We will move next with Jarrod Castle with UBS.
Jarrod Castle: Great. Just part of the presentation, clearly, you're growing very quickly in China. But I guess some of the local Chinese brands are growing much quicker than you. So I guess the question is, would you say you're targeting more quality rather than just growth per se? And how do you get your fair share of mix in a market which certainly some competitors will be growing quicker than you? You've also done a lot of portfolio cleaning and refresh over the years. Anything else to call out over the medium term in terms of further evolution of existing brands? And then lastly, I just want to get an idea of how you see the health of the funding markets now for investors in your hotels? Indeed, if interest rates are starting to hopefully come down, did you expect to see some kind of acceleration in signings in certain markets?
Elie Maalouf: Thank you, Jarrod. Let me touch on your questions. I'm going to take the China question last because I'm going to just make a couple of remarks and turn it over to Daniel, who can give you some color fresh from there, actually. So no, we don't foresee any other portfolio cleaning. The Crowne Plaza, Holiday Inn plan of -- I think it's now 2021, it was really a one-off. And we believe that the state of our brands with a philosophy of constant refreshment does not require that. On the lending market for hotels, I mean, it's different around the world, of course. But I would say it's generally improving in total. And if I unpack it a little bit, in the U.S., our biggest market, rates have dropped from near 5 to near 4. It leveled off. Inflation has leveled down. The banking agitation at the beginning of the year of '23 with the regional banks has subsided. But in the meantime, the industry has been strong, rates have been high, RevPAR has been strong, hotels are cash flowing. So I think that's given owners more confidence, and that's shown through our increased openings and increased signings and I think it helped us to propel a stronger fourth quarter. So I think that confidence is building. I also think there's much more to go. So that's what we're encouraged by. And I think if you go to the other end of the globe, over in China, you saw a market that just really opened up in January and accelerated pretty quickly throughout. We managed to open our 700th hotel last year, and we got over 500 on our development now. And I think we'll get our 800th open this year in 2024, at least Daniel tells me we will. So we're pretty encouraged that financing for our sector of hospitality, of hotels in China is also available today. I sat down this weekend in London with -- happened to be a U.S. -- one of our U.S. owners from Nebraska who builds most or all of our mainstream brands, just happen to be in London, we sat down in the afternoon. And David, he's got quite a few of our hotels in the pipeline. He's starting to move forward on financing. He's finding a little more receptivity out there. So we think that climate is improving, but there's more to come.
Michael Glover: Can I just add on that? If you look at -- and we talk a lot about conversion signings and certainly, there -- it's great to see those conversion signings come in. We put in a new brand like Garner to attract those. But in the Americas where most of that construction and financing issue was raised, actually, we had new build signings of 68% in 2023. 68% of our signings were actually new build signings. And that's up 13% year-over-year. And as Elie mentioned in his presentation, 33% up from 2020. I think that just gives you an indication that owners feel like they can secure the financing, they can get the asset built and they can deliver the returns on that asset. So I think we're very encouraged about that. And certainly, the momentum we've seen like in the -- for the group, in last quarter, we saw signings up 50% year-over-year. In the Americas, they were up significantly. Now that's a busy quarter for us, normally. But I think we're really encouraged by the momentum we're seeing there and the fact that owners are doing new build projects, and it's not all about conversions.
Elie Maalouf: Yes. And I want to bring in Daniel to talk about the competition in China. I'd say, look, all of our markets have always been competitive. We're not deterred by the competition, whether it's the U.S. and in China. And yes, some of our competitors in China, the local ones are playing in a different segment. But keep in mind, not just the competition, I think the first thing to keep in mind is the size and opportunity of the market ahead with 1/7 penetration, with 200 million people joining the middle class, there's going to be room for all great competitors, especially ourselves. But Daniel, over to you to what you're seeing.
Daniel Aylmer: Thanks, Elie. And Jarrod, firstly, let me compliment you on the report you put out last week on China, very insightful and a very important read. As Elie said, there's still lots and lots of opportunities in Greater China. And the local competitors are fierce and they're fast. We've done a lot of work over the last several years on ensuring that our owners' ROI performance is on par with local competitors. So looking at the cost to build, cost to open and cost to operate. And then, frankly, we're in a really good place. So I would say, whilst you look at the local players have grown extremely fast the past decade is really for us watch the space.
Operator: Next question comes from Leo Carrington with Citi.
Leo Carrington: If I could ask a couple on the EMEAA region, please. Firstly, there's 4 as yet undeveloped brands in EMEAA. Just can you talk about the -- what's changed to perhaps this opportunity? Is there increased receptivity amongst owners? Or are you reaching a level of concentration with the other brands? And then secondly, the potential for India. To what extent is it possible for India to see a replication of your success in Greater China, notwithstanding your business in Greater China has been there for some time now?
Elie Maalouf: Okay. I want to get Kenneth's thoughts quickly on this, but let me just pop it off before. I would say -- and I've been traveling with Kenneth in EMEAA since July, where we've been to Southeast Asia. We've been to Japan. We're going to India together in next -- in April. We are going to the Middle East next month. We see opportunity everywhere. The one thing that is not the -- that's not on the table is concentration. We just see more opportunity with our brands as guests demands broaden beyond certain brands, as owners are more interested different things. It is certainly not concentration in a very vast territory. We're still a growing population, growing middle class and growing GDP and vastly underpenetrated, not just by hotels, but vastly underpenetrated by branded hotels. And if I look to India, there's a huge opportunity. I mean we've got 50 hotels in India, 50 or so under development, plus or minus. If you can compare it to the scale we achieved in China, I'm not saying we'll achieve the same scale in China, but it shows you the headroom that there is over a long period of time. We're long players. We don't take the quarterly, annual point of view on these matters. We take a long-term view because we believe that compounds value for our shareholders. Kenneth, over to you.
Kenneth MacPherson: Leo, thank you for your 2 questions there. I'm going to the first one about the brand potential. Maybe going back a bit when we created the EMEAA region, we've been very clear that we would be building close to market teams and that we would be developing our presence and our scale and our performance into prioritized markets. We've continued to do that over the years, both pre and during the pandemic and post that. And in parallel to that, we've been strengthening the brand experience and the performance and the early returns of the brands that we had established. As we've done that, we're reaching the point where we have got scale businesses where we feel increasingly confident that we can introduce new brands. And that coincides with the [indiscernible] capabilities, but it's also the points that Elie made about our enterprise, the IHG One Rewards and just our ability to drive those brands as we introduce them. And those scale businesses, those teams are allowing us to identify that intersection between our returns and guest interest and guest needs. So really what you're seeing now is us talking about this because we feel more confident that we can drive the performance of those brands so that we can build to a scale where it makes economic sense. And ultimately, we can leverage those to drive the value and the bottom line performance that you'd expect us to be doing. And that's why we're talking about it more than we have done previously. Just adding to India, as I referred in my introduction, I have the great pleasure of working on our China business earlier on. And a follow-up by  Jolyon and Daniel. And I think the India bit is a very similar story. It is the GDP growth driving the growth of the Indian middle class. Indian middle class coming through at sort of mid levels and actually very high income levels as well. That is coinciding with central government policies around infrastructure development and then also trying to create a business environment that's enabling the sort of international investment that we're seeing going into India. So with that, we'll be adopting a very similar approach. We're going to be building strong foundations. We're going to be making sure we build the reputation and the performance of our brands, at least we'll have to drive growth. So I think we will be taking the long-term view on it. We'll be taking the steps to make sure we grow it sustainably. And over time, you'll see the real value of the market come through. So thanks for that.
Operator: We will move next with Alex Brignall with Redburn Atlantic.
Alex Brignall: Two, if I could. Just coming back to RevPAR. There's been a lot of questions asked of every franchise group about the outlook for RevPAR. I guess from your perspective, it doesn't pay to be negative. So maybe the better way of asking it is why has RevPAR been as weak as it has recently, particularly in the U.S. You saw Choice, minus 4% today. Wyndham had negative RevPAR in Q4. You had just about positive RevPAR in Q4. So what do you think the reason is for that weakness? I guess we can all take a view on how it evolves, but it's not like the economic data has been weak and just the curiosity of why RevPAR itself has been bad in terms of reported basis? And then the second question is on net unit growth. You are less guilty of this than others, but we've seen a lot of low financially contributing partnership deals signed recently that have been sort of offered as net unit growth, but obviously meaningfully less financials to come from those rooms than others. Why do you think that's happening so much now? It's not something that we'd see into such an extent as of prior cycles.
Elie Maalouf: Well, thank you, Alex, for your questions. Let me just start with this last one first. Everything we try to do, and I won't speak for others, is directed at high value and ultimately high shareholder value growth. But we don't want just unit growth, we want fee growth at the right scale that delivers EBIT growth, that then delivers shareholder value. So we're pretty rigorous about our growth. That's why you see us not having master franchise or brands in China or other parts of the world. That's why you see that the partnerships we've done, like the Iberostar one, are directed at any growthy and not just that system growth, it's -- we've talked many times before with many of you about the difference of just unit growth versus real sustainable fee growth. So I can't speak for what others are doing. Our discipline here and we work hard is to look for unit growth that drives fee growth sustainably. And we'll maintain that. On RevPAR, I can't speak for the two companies you mentioned, Choice and Wyndham. I think there are some idiosyncratic issues to their segment which has came out of the pandemic really hot and then cooled off much more quickly. That's the economy segment in general. And there's kind of a idiosyncratic topic there that we don't play in economy, we don't play in those chain scales. We're pleased with our performance in '23. Against our weighted segments, we were above the previous segment's performance in RevPAR. And quarter-to-quarter, there could be variabilities. We obviously don't give projections. But when you look at the U.S. economy and the outlook for travel, there are still some structural tailwinds, whether it's the strength of the economy, whether strength of job growth, [indiscernible], recovery of some segments that give us confidence that there is still upside. The industry forecasters, like SDR are going for 4% RevPAR, that's their forecast. So there's still some headroom there. And I think what you have to look at is that the -- we are widely distributed around the world, too. That's one of our strengths is a lot of our conversation today has been about the U.S. and as an American who moved over here. I'm still very close and went to that market and close to the information there. But while it's our biggest market, the strength we're seeing around the world gives us confidence that we have a very balanced geographic platform that allows us to continue to grow around the world. Michael, did you want to add to that?
Michael Glover: Elie, the only other thing I would say is there's -- just like we saw in 2022, there's always geographic mix and movements and things like that, that happened within the region. You may remember Florida being crazy and then all of a sudden, Florida going down as people moved and started traveling. You have seen similar dynamics come into that. One example of that is urban markets were really strong last year. They had been kind of the last market to recover . And so you've seen some of the other markets slow down a little bit. So I think you get a little noise in the system when you look at that. So like Elie said, when we look at how we're performing relative to our competitors and where we operate, we feel very confident about what we're doing and what we're delivering.
Elie Maalouf: The one thing we haven't touched on this call yet today supply in the U.S., which was said to be 0.5 point last year, 50 basis points of supply growth, which really when you account for obsolescence in the industry, which is somewhere at least 0.5 point is basically no supply growth. Well, that no supply growth is actually supportive of continued RevPAR growth because demand is still very strong. So I think that our -- we're confident over the long term for the U.S. growth.
Operator: Our next question comes from Andre Juillard with Deutsche Bank.
Andre Juillard: Three, if I may. First one is about M&A. So you said that you were keeping some margin of maneuver to eventually do some bolt-on acquisitions. But don't you think that it would make sense to think about big Marriott -- or a bigger consolidation as Marriott has been doing it several years ago with Starwood or things like that. Just wanted to know if -- what was your view on that side? Second question about development and the fact that some destinations are still very focused on lease contract reserve and franchise and management. What is your view to continue to gain market share in such destinations? And third question about the profitability growth you've been guiding on 100 to -- 100 bps improvement on the margin. But we are in a cyclical industry, and we know that some downturns could impact you. So can you give us a sensibility on the RevPAR or top line growth?
Elie Maalouf: Okay. I was wondering how long before an M&A question would come up. So look, we obviously don't comment on M&A or industry activity in that area. We know that we have added three brands through acquisition in my 10 years with the company, Kimpton, Six Senses and Regent, all of which are really at the heart of our, I think, industry-leading luxury lifestyle portfolio. It may not be the biggest yet, but it is, I think, the most relevant. It's a luxury and lifestyle of the future. The affinity, the desire for those brands around the world and the way we've grown them since we acquired them is really impressive. So we'll always look at brands that we can add to our collection. So Michael correctly said that we always look at that in our capital allocation, growing our business sustainably accretively is what we will look for first. But at the same time, we don't need to do that to continue our organic growth. We're in a position with a very strong portfolio a great geographic distribution penetration across high-value and high-growth markets, and we see great upside right there, even without any further additions, either organic or inorganic. And to your consolidation point, please keep in mind, I don't know what slide number it was early in the presentation, where we believe we're already consolidating the industry without M&A with 4% of the industry supply, but 10% of the pipeline, we're already consolidating it organically at a much lower cost of capital. We'll always look at M&A where it makes sense, but consolidation is already occurring against -- towards the preferred brand systems like ourselves. On development, we really try not to get into lease arrangements ourselves. We'll work with lessees where they're looking for a brand and a franchisee, a franchisor or an operator, but we try -- we have a few leases on our balance sheet, but we try not to enter into any new ones. We don't believe we have to, to grow fundamentally. And I don't think that's been a barrier to our growth in almost all of our markets. There are always a few exceptions, but we also look at the right risk of reward and we feel we can penetrate the high-value, high-growth markets without doing that. Turn it over to Mike -- to Stuart margin. But just one thing about that. Always remember that this is an industry that makes higher highs and higher lows. So you're correct that at some point across the cycles, we have some positives in RevPAR growth and then reaccelerations. But the key thing that we focus on, and we think our investors focus on is that the industry, we make higher highs and higher lows. So we're not trying to time our strategy for investments and for growth with those lows and highs because we're going to make higher highs and higher lows. And so why I don't know when they pause or slowdown will occur where, but I'm confident that we'll continue the track record of higher highs and higher lows.
Michael Glover: Yes. From a RevPAR sensitivity perspective, we're at about $11 million right now. Maybe I'll pass it to Stuart to -- he can talk you through how to kind of think about modeling that.
Stuart Ford: Yes. Andre, so if you look at the total revenue base from the fee business, it's just under $1.7 billion, but I think it's instructive to look at the 3-way split of that, which you'll see in the detail of the accounts. So the central revenues, that's about exactly $200 million. There's an IMFs, which went back to $168 million. The 2019 level was $151 million. So we've already surpassed IMFs, but they will continue to grow. They're not all the way back in the sense of every single hotel earning an IMFs. So we haven't topped out at $168 million of IMFs. And then what you're left with is the $1.3 billion, which is franchise fees and base management fees. There is an element of that isn't proportional directly to revenue, most of it is, which is why if you like, $1.1 billion of that, and therefore, 1% of that is the $11 million that Michael has mentioned, that is the  direct sensitivity in terms of a change in RevPAR that would drop through from -- into a change in EBIT. And then on top of that, comes whatever change there is on IMFs, whatever change is being driven through central revenue and whatever change is coming through productive net system size growth.
Operator: [Operator Instructions] And we show no further questions at this time. I will turn the call back to our presenters for any closing remarks.
Elie Maalouf: Well, thank you, everyone. It's been really great to connect with you today and to update you on our strategic priorities. We are very pleased with the year we've had in 2023, and our teams have done an excellent job that this [ has ensured ] us for success ahead. We look forward with confidence that in for this chapter of IHG growth. What we wanted you to take away from this event is our confidence in the strength of our track record and business model. And how our evolved strategic priorities and development initiatives will deliver a growth algorithm and strong shareholder returns from here. We hope you have gained a deeper understanding of the strength and opportunities to further develop our brand portfolio around the world, our leading enterprise platform and how those come together in a highly scalable and efficient model that delivers top line growth. It delivers expanding margins and excellent cash generation. This then enables us to invest back in the business to drive that growth even further, sustainably grow dividends and to return surplus capital, which is all as part of how we see IHG optimum shareholder value. On next market communication will be our first quarter trading update on Friday, third of May. Thanks for your time and interest in IHG, and I look forward to catching up with you soon.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time.